Operator: Ladies and gentlemen, welcome to the VistaPrint Fiscal Year 2009 Third Quarter Q&A Earnings Conference Call. My name is Leticia (ph), and I will be your operator for today. This call is being hosted by Robert Keane, President and CEO, and Mike Giannetto, Executive Vice President and CFO. Before we take the first call, as noted in the Safe Harbor statement. At the beginning of the earnings presentation, comments may include forward-looking statements, including statements regarding revenue and earnings guidance. And actual results may differ materially. Risk that could impact those statements are described in the documents that are periodically filed with the Securities and Exchange Commission. Now, we'll proceed with first call.
Operator: And our first question will come from the line of Mr. Mark Mahaney. Please proceed.
Mark Mahaney - Citi Investment Research: Thank you. I wanted to ask a couple of questions please. Could you talk about the materiality if any of the FedEx deal. Second, could you talk about the gross margin trends seem to have nicely continue days to stabilization trend from last quarter, how sustainable is that going forward. Those I guess, this question is for Mike? And Robert, I want to ask you a broad question which is just you have a visibility in the both consumer and in the small business span. I understand more in the small business, but is there something you see that indicates the consumer has come back little bit more quickly than the small business demand just abroad -- across the broad markets that you look at? Thank you very much.
Mike Giannetto: Thank you. Mark, this is Mike. So, in terms of the FedEx announcement, obviously we're very pleased to be striking this partnership with FedEx. In terms of materiality, we don't comment specifically on any strategic partnership relationships as we didn't when we signed with OfficeMax and other. So, I won't get into specifics about materiality other than to say what we did say in our release. It is a partnership that will cover all of the U.S. There are 1,600 stores within FedEx, Office, then we'll also be online with them partnering as well. In terms of your second question on gross margin. Gross margin for Q3 came in at 63.5%, which was flat with our Q2 results the December quarter. So, we were pleased with that. In terms of the dynamics within, basically the flatness on the gross margin quarter-to-quarter. We did have less volume, but we did in terms of cognizant absorption. But last quarter we did have a one-time charge which we did not repeat in Q3. And we saw a continued labor productivity improvements in both our plans. So it was a very strong quarter for gross margin. Year-over-year when you look at gross margin, it did improve quite a bit 220 basis points over our Q3 '08 about 110 basis points of that was foreign exchange related with the Canadian dollar and the U.S. dollar movement, which last year returned us and this year is -- has been a positive. In addition to that, again we've seen some nice labor productivity improvements in the plants as well some material pricing reductions.
Robert Keane: And Mark, in terms of your question regarding our inside its consumer versus small business. One I would say that clearly there is a very tough economy out there and the economic conditions are also exacerbated for VistaPrint pipe, the currency headwinds. We -- I wouldn't want to say what, that we can see a great difference in the bounce back of one segment consumer versus another small business. As you can see the numbers is and its the case every year, there is a great seasonal shift, the December quarter is our best quarter by far for the consumer business and holiday related business products and it really shifts a back to a small business focus in the March quarters that we just completed. So, we believe the market is tough out there because of the economic conditions but we believe that VistaPrint is very well-positioned relatively and we're very pleased with the constant currency 30% growth we had but that was a consistent comment across both the consumer and the small businesses market.
Mark Mahaney - Citi Investment Research: Thank you Robert. Thank you Mike.
Operator: And our next question comes from the line of Youssef Squali with Jefferies & Company. Please proceed.
Youssef Squali - Jefferies & Company: Thank you very much. And I guess, congrats on a very good quarter. (Foreign Language). So with that couple of questions for you first Robert. Could you delineate or could you help us just parse out growth in consumer revenue in the quarter versus growth in small business there was a fear coming out of the December quarter that we're going to see that the small business wouldn't necessarily comeback. So if you can maybe just -- I know you don't breakout the exact numbers, but at least help us kind of gage the growth in small business. And secondarily, Mike on the gross margin issue. What was the FX impact sequentially on gross margins and I have a follow-up?
Mike Giannetto: Youssef, I'll handle it. The gross margin was a quick one, they really from a gross margin standpoint it was immaterial impact sequentially.
Youssef Squali - Jefferies & Company: What about year-on-year then?
Mike Giannetto: Year-on-year it was about a 110 basis point improvement, so Q3 to Q3 is a 110 basis point improvement in gross margin, because -- mainly because of the Canadian U.S. dollar movement.
Youssef Squali - Jefferies & Company: Okay.
Robert Keane: And Youssef in terms of the question with consumers small business, one I would refer to the slide, I think it's a slide 26 in our presentation, which the green portion of that slide speaks to the consumer and holiday business, and the blue to the smaller business. And you clearly see that smaller business sequentially jumped way up as traditionally has been done in the March quarter. Clearly we believe that in both consumer and smaller business are being impacted by the poor economy, but if you look at the consumer business as a totality, as a percentage of revenues year-over-year it was slightly higher, a part of this is seasonal and a holdover from the second quarter, the December quarter, which showed increasing consumer holiday sales we expanded and promoted those offerings. And then particularly some of our new consumer products sold well in Q3. But I think although there were some changes that I just described I'd say all the high level view is consistency with trend we've seen in a sequential second to third quarter for many years in a row, just damping by the poor economy.
Youssef Squali - Jefferies & Company: Okay and then on customer acquisition costs fully loaded, it looks like it was down both sequentially and year-on-year, what you have done differently this quarter, and lastly rather would you pursue do a listening now that you're going to be incorporated in Netherlands and headquarter in Paris?
Robert Keane: Sure I will take that and then let Mike deal with the fully loaded cost acquisitions. No, there is not an intention to do a less, we believe we would stay exclusively on the NASDAQ and we won't be changing our symbol or our listing in anyway.
Mike Giannetto: In terms of and customers acquisition costs, the fully loaded which is advertising divide by our total new customer acquisitions, for Q3 we had done certainly sequentially from December which we tend to see that seasonality change every quarter come up with the holiday quarter and holiday quarter the coke is increased and then off of that in the March quarter we do see them come down. Year-over-year they are down but it's pretty slight decrease in the coke year-over-year, so not a lot of change from a year-over-year perspective.
Youssef Squali - Jefferies & Company: Okay. Thanks a lot.
Robert Keane: Thank you, Youssef.
Operator: And our next question comes from the line of Jennifer Watson with Goldman Sachs. Please proceed, Ma'am.
Jennifer Watson - Goldman Sachs: Great, thank you. Robert or Mike if you could talk a little bit about the trends throughout the quarter and obviously throughout this earnings seasons we've definitely hurt from the number of e-commerce companies that trends stabilized and March are actually improved. Did you guys see any of that, and if so why the increase caution just in terms of that -- guidance?
Mike Giannetto: Jeff its Mike. So in terms of interquarter trends, in this quarter we normally see which we did see again this year a slowness in January just coming out of the holidays things just tend to be slow and then tend to pickup as the quarter proceeds. We certainly didn't see any particular spike as we headed throughout quarter there is no really meaningful trends to talk about in terms of spike within the quarter. So, I'd say from a, the way the quarter proceeded, it proceeded similar to the way Q3 trended over the months it was in the quarter. Can -- you said something your last question about going forward I think can you just repeat that one?
Jennifer Watson - Goldman Sachs: Yeah. So I was just asking, if trends it seems pretty stable through March and April or I was asking if they had a picked-up why the caution around the June quarter?
Mike Giannetto: Yeah. I'd say, as we look at guidance, as we have looked at guidance last couple of quarters in the environment we're in, we are in the recession, currencies have been moving quite a bit on us. We go to our normal process of doing a detailed forecast and then for many different angles and then applying some overlay on top of that. Given the uncertainty in the overall economy, we've come up with our range, which we think is a realistic range that we would expect to see in Q4 based on what we have seen historically and what our forecast tell us and what we've seen so far early in this quarter.
Robert Keane: And can I just add that, I would characterize it as steady guidance, as suppose to increased caution. The guidance we've given is pretty much unchanged from the guidance when we gave, for last three months ago both the remainder of the year and the third quarter if you backed out and got the actual numbers, you'll see that the plan we put in place last autumn was a good plan. We're still working to it and the guidance is consistent with that. It's not more conservative than that.
Jennifer Watson - Goldman Sachs: Okay. And then just one follow-up, I think you earlier had mentioned that insurance cost bags had a health growth margins. Can you just explain all of that what that is?
Mike Giannetto: Yeah, actually Jenny we see an insurance recovery this quarter. It actually went through G&A, not gross margin.
Jennifer Watson - Goldman Sachs: Okay.
Mike Giannetto: After that was a credit this quarter that we received and went through G&A.
Jennifer Watson - Goldman Sachs: And what was that associated with?
Mike Giannetto: I don't want to get into the specifics, already we had an insurance claim which was set off during the quarter.
Jennifer Watson - Goldman Sachs: Okay. Thanks.
Robert Keane: Yeah. Thank you.
Operator: And our next question comes from the line of James Friedland with Cowen and Company. Please proceed.
James Friedland - Cowen and Company: Thanks. First just a quick follow-up on the insurance payments question, so, that claim that was paid, did it was it a one of that just occurred in Q3 and can you give us the size of that claim? And then secondly, I was wondering if you could give us an update on website that products went from roughly zero to 75,000 subscribers and about seven, eight months you told us there was your analyst day, I was wondering do you expect based on what you've seen historically that the email product can ramp in that sort of at that sort of way and any update you can give us on website? Thanks.
Robert Keane: Yeah, Jim I'll -- on the insurance, yeah, I would consider it a one time recovery. In terms of magnitude it was about a penny of EPS credit. And then in terms of email and what might be incurred in that market from our website, you're right, that we have had great success in the website since they are launch about a year ago. We gave a specific number of subscribers and the Analyst Day you refer to. We've not updated from that, but I can tell you that we're still very pleased with that product line, which is the success in that type of digital or electronic fire line has been encouraging as we looked at other places, such as email marketing.
Robert Keane: Sorry, as you said in terms of the ability to say we received X thousands of customers per month in the product A website and that means we're going to do Y in product B, the e-mail I don't think it's a one-to-one comparison, I think we do have a very fundamental competitive strength and that we make our customers profitable on their first order, we have a huge customer flow of small businesses. But those are two different products and I won't to say there is a one-to-one relationship.
James Friedland - Cowen and Company: Okay, great thanks. And then maybe, at least none of you those seems to be very high above average gross margin products and we've seen gross margin up nicely in the last couple of quarters for a number of reasons, is the website product helping out those gross margins is it moving the needle or is it too small to help?
Mike Giannetto: Jim, I'd say it is helping and it's a growing business, the gross margin profile is very strong on the product line. So, it is helping and it continues to grow.
James Friedland - Cowen and Company: Okay. Great, thanks.
Mike Giannetto: Thank you.
Operator: And our next question comes from the line of Franco Turrinelli with William Blair. Please proceed, Sir.
Franco Turrinelli - William Blair & Co.: Hi. Good afternoon everyone.
Robert Keane: Good afternoon.
Franco Turrinelli - William Blair & Co.: Two questions. The first as I think a lot of questions on the call about the consumer versus business mix. Could you just remind us kind of how you come up with that breakout is it really just product based breakout or is there something else that you know about by customer or about the order that allows into characterize as one and all the other?
Robert Keane: Frank, the way we characterize it categorized it is based on product type and so business cards are obviously booked sure doing to the small business bucket consumer would be holiday cards, calendars, invitation. So, it really is driven by the product type.
Franco Turrinelli - William Blair & Co.: Okay. So, I mean it's only a product issue. So, if a business ordered holiday cards or consumer ordered holiday cards those will both fall in the consumer and holiday category?
Mike Giannetto: That's correct.
Franco Turrinelli - William Blair & Co.: Great. Thank you. The other thing is, could you just this is bug minds I apologize for asking again but could you talk a little bit about the average order volume I am still surprised that you have introduced so many different products. Some of them presumably at a higher price points but maybe some of them not. And yet the average order value is very, very stable. Is there something sort of inherence to that fairly something dollar order or is there a deliver pricing strategy for you. Kind of what's going on there?
Mike Giannetto: There are couple of things. I think mostly there is an FX impact because if we are selling in euros or pounds it were comparing at rest of the year ago we're getting a quite a bit fewer dollar for that but excluding the currency exchange the average order value would have actually been higher year-over-year. Now beyond that things like website are now a meaningful percentage of our orders and they have a low order value because we build that on a monthly basis. And that's pulling down the average value. We do not actually talk about the average price. Recurring revenue of our website but the mid-point of our price range is if you just chosen middle point it's about $10 that would be $10 versus the low 30s for the average overall. However, that still 10 times a year, so its $120 a year. So, the average order value has pulled down, but the actual value of the customer goes up in that particular example.
Franco Turrinelli - William Blair & Co.: Okay, that's helpful. And I guess that answers one of the other questions that I have. But if somebody's signed up for websites or presumably in the future for e-mail marketing every month that they signed up for that that would close to one order in your metrics, is that correct?
Mike Giannetto: Yes, we can say there are one transaction and it goes into the average.
Franco Turrinelli - William Blair & Co.: Thank you. I'll get back in queue.
Mike Giannetto: Thank you.
Operator: And our next question comes from the line of Mark May with Needham & Company, please proceed sir.
Mark May - Needham & Company: Thank you. Not quite sure what my question is to be answered, but maybe I'll ask about fiscal 2010, I think that this quarter on year-over-year basis you added about 20 million in revenue including the FX benefit and can you get the mid-point of your fourth quarter guidance, its like 16 million year-over-year. I'm wondering if as we look out, we're obviously starting to model fiscal 10 and look at that more closely. Do you think that using 15 to $20 million incremental revenue increase per quarter is kind of a good run rate to look that going forward I know there is a lot of uncertainty? And I guess the related question just in terms of the fourth quarter guidance it is, I think the first time that you will have a sequential decline in revenue from Q3 to Q4. What are you seeing in the last few weeks or months in terms of buying activity on that side, its making you -- maybe more conservative in your outlook there is it just session frequency close rates or average order volumes just kind of wondering what you're specifically seeing that makes you expect potentially a down sequential quarter?
Robert Keane: Okay. I'll take the first question and then turn it over to Mike. But I just have to reiterate that we've held our guidance steady, we've not made a more conservative, but in terms of the question of about fiscal year 2010, we have not giving guidance yet and we plan to provide guidance in the next quarterly call once we've completed our planning cycle for fiscal year 2010. With that said as we look out to 2010 we are taking into consideration the tough economic headwinds we have which we believe will persist in that fiscal year. And the likelihood that the currency markets are going to continue to be a very unpredictable. And that being said, we have an counter (ph) a very sold record of growth during challenging times. So, frankly we're weighing off the interest to continue to grow in challenging times to continue to build for long-term growth as we have in the past with a very uncertain economic in macro environmental picture or so. We've explicitly held off on giving guidance I wouldn't want to address the specifics of your question in terms of what's the good run rate in the future. Could you want to talked about.
Mike Giannetto: Sure, in terms of in Q4 revenue so we've given a range of 123 million 129 million which is 11 to 17% year-over-year growth. Which is fairly consistent as Robert has pointed out with prior Q4 implied guidance for the quarter in terms of revenue volume. So, our outlook is not changed much it all in terms of what we expect to see in Q4. You pointed out we do depending on where we end up in that range potentially it could be sequentially down for the first time Q3 to Q4. But it -- the guidance reflects as I said everything we've seen in terms of a lot of as you mentioned in terms of buying patterns and the various data we've seen in the Q3 and what we're seen early in April. So, I think we have a realistic range that we've put in place that reflects continues to reflect a lot the uncertainty we'll dealing with.
Mark May - Needham & Company: What about something that you do have maybe a little bit more control over as your operating margins for a while there I know there are lot of varying points but your EBITDA margins were pretty consistent around 20% in the last couple of quarters they've risen to the low 20s. Do you think going forward in the fiscal 2010 would you be willing to say that you can sort of maintain the low 20% or maybe even improve that in fiscal 2010. That, obviously dependent on the revenue outlook here but.
Mike Giannetto: Yeah Mark as Robert said we're not prepared to talk about 2010 in terms of guidance. We'll on our next earnings call after we completed the planning process but I would want to make comments on what we expect to see in EBITDA for next year.
Mark May - Needham & Company: Okay. Thanks.
Operator: And our next question comes from the line of --. Please proceed, Sir.
Mitch Bartlett - Craig-Hallum Capital: E-mail marketing, great addition to the --.
Mike Giannetto: Thank you.
Mitch Bartlett - Craig-Hallum Capital: And maybe you could talk about what's difficult to do in that product. What obstacles you had a over comment there was any friction associated with that. And in website you outlined on your Analyst Day, how quickly that came to market and maybe you could just make that discussion extent to marketing. Also looking to understand, are there other digital products in the planning horizon that you see that might be coming, or is this the big one that we've been waiting for?
Robert Keane: Okay. So, in terms of what we needed to overcome in barriers to come in the market, I think, let me talk generically about the market, the way we look at that and many other small business products is I think a huge competitive hurdle that most companies have which VistaPrint does not have to go over is the cost of customer acquisition. As one of the other question eluted to strong gross margins in these products, the problem is not the gross margin; the problem is the cost of marketing. So, we've felt that one of the reasons we've been interested in expanding into many areas of small business marketing for the last several years is because we can leverage the roughly third of revenues we spend on marketing. Technically, I think it's not an easy solution put together, but we do a lot of things where there are not easy technical solutions, we have a very strong technology development and product development team here. And so we certainly had some great people on this project and I don't want to minimize the technology involved but I think it's we have many other equally complex technology challenges that we've overcome. I think in terms of a split market Wendy Cebula, I believe our pricing in North America at the Analyst Day walked through some of other process we went when we developed the e-mail market -- I'm sorry the website product and I believe that's why you are alluding to, it's very similar storage here. We have certainly spend a significant effort here, but I think we have an ability to introduce many, many products at a rapid clipping, you can see that in VistaPrint's for the last several years, the effectible product or electronic or digital product. In terms of your last question, is this the big one that we've been await for, we certainly are very excited about this product as we are on our websites. I would say that first we do pre-announce other products that we're about to launch or we are even thinking of developing for competitive reasons. I would say that as we said in many of our Analyst Day's in the past certainly in last year. So we have defined our market opportunities helping small businesses to market their business. And increasingly, our small businesses used online channels to market their business. So that doest mean that we're going to necessarily come out with our digital product in the next several months or quarters. We could come out with more physical products. The criteria euros is, do we believe we can have a strong competitive advantage, do we believe its something our customers want a need based on customer surveys and there is not a preference for could being physical of digital.
Mitch Bartlett - Craig-Hallum Capital: One last is this going data (inaudible) ?
Robert Keane: It has been not for a very long period of time in terms of months but it certainly been a better test for sometime yes.
Mitch Bartlett - Craig-Hallum Capital: Thanks very much.
Robert Keane: Thank you.
Operator: And our last question comes from the line of Michael Weiser (ph) with ING. Please proceed.
Unidentified Analyst: Yeah. Hi everyone. A couple of things first of all I missed this what was the currency impact in quarter, what was the, do you have the foreign revenue growth currency?
Mike Giannetto: So, Michael the non U.S. revenue growth excluding the effect of currencies year-over-year was a 43% growth rate excluding the FX impacts.
Unidentified Analyst: Great. Thanks for that. Second, when you say Robert, there is no change in the tax rate as a result of moving to France, international tax policy not being one of my few areas of expertise. If there is a change in U.S. tax policy regarding domiciles, this would mean you are totally unaffected by that?
Robert Keane: Well as you early, taxes are complicated and deep subject which I'm not an expert and we experts we work with for years including in this domiciling of the company to the Netherlands. So just to be clear the company will be Dutch company if it's approved by shareholders. I will be as you're looking in Europe out of Paris but all of the headquarters will be ready corporate entity will be touch. Now one of the so first and foremost to say there is no servable in tax in life but we believe at it's and then we believe there is multiple reasons for us to incorporate in the Netherlands and to move the headquarters tax certainties one of them but its not the only one. We one other things we, if I stick to your question be in tax one other things we like to about the Netherlands and France is there was a two countries that are pure white countries in terms of the OECD list of countries in terms of there would antithesis of tax saving. So, that attractive because it's from a protective perspective we think it's better to be in a place like Netherlands. Secondly we have very substantive presence in the Netherlands we've a hundreds of employees tens of millions of dollars of assets, it's our first manufacturing facility. We have servers, we have engineers, it's a very substantial presence and that also factors into the fact patterns that are important in task. And then I'd tell you that finally as we are very happy that we are operating within tax structures that are well established in those countries until we feel that it make sense for us to move there for those reasons, if we stick if we limit this conversation to fiscal reasons.
Unidentified Analyst: What is the corporate tax rate in other words?
Mike Giannetto: It is 24%, it's about 25%.
Unidentified Analyst: Okay. Well that been the case why would that therefore, you're saying the tax rate would continue to be in the tonnage range or corporate wise?
Robert Keane: Yes, so Michael, I answered your question on the statutory tax fragment in the Merrill Lynch that is the case, but in terms of VistaPrint's structure, we're still going to conduct our sales through Bermuda with our service structure in Bermuda. So operationally there is a lot that will stay the same within this new tax structure, so sales will still be process with Bermuda. And so we have still enjoying a tax rate that we have been and we talked about in the 10% effective tax rate range.
Unidentified Analyst: Okay. And then finally you mentioned 16,000 FedEx offices, where you have present that's U.S. where you have presence overseas?
Robert Keane: The contract we saw now is only the U.S. focused contract.
Unidentified Analyst: Okay. What about on the website?
Robert Keane: It will be the U.S. website.
Unidentified Analyst: U.S. website as well, could you about sizing the opportunity here relative to what you've done with Office -- excuse me OfficeMax.
Robert Keane: Okay. So in the U.S. we I believe OfficeMax has 700 stores approximately and maybe around 6 to 800. So in the in store presence it's about double.
Unidentified Analyst: Right.
Robert Keane: is a very well established company before FedEx problem, I think you combine with 200 FedEx's policy, they have been doing very well, and I also take online FedEx is very strong. We really like OfficeMax, they are good partners, we're happy with that business and we see this is complimentary not as competitive, but it will triple the numbers stores in the U.S. which we are pricing in.
Unidentified Analyst: Okay. So, implication to this is a significantly bigger opportunity for you than the other?
Robert Keane: If the performance is going on the store-by-store basis, yes.
Unidentified Analyst: Great, thanks a lot. Great job as always.
Robert Keane: Thank you.
Mike Giannetto: Thank you.
Operator: Next question is a follow-up with the line of Jim Friedland with Cowen & Company. Please proceed.
James Friedland - Cowen and Company: Yeah. Just one quick one on the tax domicile change are there any one time cost that we should be thinking about either cash cost or booked cost that will show up as a result of this move even if its just kind of general idea you know you can give us the details later?
Mike Giannetto: Yeah Jim there will be some costs associated risk these projects as legal cost tax cost, so we will in incur those float driven and interrupt into G&A that will incur over the next quarter or so and to go to the entire process.
James Friedland - Cowen and Company: So you are saying that, the various legal fees are actually incorporated in the June guidance numbers and were shift will there be sort of one time incremental charges that might show up in fiscal 2010?
Mike Giannetto: So, it is included in our guidance for Q4 in terms of what our expectation is in terms of legal fees, account fees et cetera. Will that be some expenses that flow into 2010 there may be? Any special one time charges associated with that.
James Friedland - Cowen and Company: Okay. Great, that's helpful. Thanks a lot.
Mike Giannetto: Thank you.
Operator: And there are no further questions at this time. I would like turn the call back over to Mr. Robert Keane.
Robert Keane: Thank you and to all of you for joining us this evening, and closing I would like to first of all thank you for being on the call for your interest in VistaPrint and we appreciate your support and we very much look forward to meeting with investors over the coming months. I would also like to take a moment most of all the thanks the employees of VistaPrint to help to deliver this quarter and accounts and efforts which will really truly fundamental in delivering these great results. So, again thank you to everyone who listens into call tonight. And have a great evening.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect and everyone have a great day.